Operator: Good morning, and welcome to the Second Quarter 2019 Earnings Conference Call hosted by BNY Mellon. [Operator Instructions]. Please note that this conference call webcast will be recorded and will consist of copyrighted material. You may not record or rebroadcast these materials without BNY Mellon's consent.I'll now turn the call over to Magda Palczynska, BNY Mellon's Global Head of Investor Relations. Please go ahead.
Magda Palczynska: Good morning. Today, BNY Mellon released its results for the second quarter of 2019. The earnings press release and the financial highlights presentation to accompany this call are both available on our website at bnymellon.com. Charlie Scharf, BNY Mellon's Chairman and CEO, will lead the call; then Mike Santomassimo, our CFO, will take you through our earnings presentation. Following Mike's prepared remarks, there will be a Q&A session. [Operator Instructions].Before we begin, please note that our remarks today may include forward-looking statements. Actual results may differ materially from those indicated or implied by our forward-looking statements as a result of various factors, including those identified in the cautionary statement in the earnings press release, the financial highlights presentation and in our documents filed with the SEC, all available on our website. Forward-looking statements made on this call speak only as of today, July 17, 2019, and will not be updated.With that, I will hand over to Charlie.
Charles Scharf: Thank you, Magda. Good morning, everyone. Thanks for joining us. I'll share some overall thoughts about our second quarter performance, then I'll hand it off to Mike who will then take you through the financials in more detail. We reported earnings per share of $1.01, down 2% versus a year ago. Total revenue was down 5% year-on-year. As we anticipated, the level and shape of the yield curve negatively impacted our results due to lower NII. In addition, continued low levels of volatility and overall muted market activity negatively impacted our foreign exchange and securities lending activities in Asset Servicing. And our Asset Management business suffered from the impact of lower assets under management and the impact of divestitures.Against that backdrop, we continue to maintain strong expense discipline without sacrificing investments for the future of our franchise. Total expenses were down 4%. This includes a significant increase in our technology investment, which was more than offset by savings in other areas. So we're being very judicious and ruthlessly prioritizing investments while also benefiting from our continued progress in increasing our underlying efficiency.On the capital front, return on tangible common equity was 21%. Our capital ratios remain strong, and we continue to return the substantial amount of capital back to our shareholders. We're increasing our quarterly common stock dividend by 11% to $0.31 per share starting in Q3. We also plan to repurchase up to $3.94 billion of common stock through the second quarter of 2020, an increase of around 20%.The significant impact of lower NII on our business certainly impacts our thinking of how we manage the company in the short term, but it does not change our longer-term focus and our work to build out our franchisees. Our business mix is unique, our market positions are strong, and we see opportunities across the company to build out a stronger longer-term growth profile.Pershing is a great example. We occupy a great position serving the wealth community and continue to invest in our market-leading platform to serve independent broker-dealers, but we also continued to invest significantly to capture more of the fast-growing RIA segment. We held our annual client event this quarter with attendance by a couple of thousands of our clients and partners. At that meeting, we announced a series of initiatives aimed at improving our clients' experiences.We're streamlining and digitizing customer onboarding for our clients to enable them to spend to more time, what they do best. We're also rolling out a new capability that will allow firms and advisers to use net asset flows and KPIs to measure their overall business performance and identify trends in their business more quickly. We've also just released a new technology assessment tool to help advisory firms pinpoint their technology needs, identify the right technology stacks and drive better returns on technology investments at a time when clients are increasingly struggling with those topics.And as we said over the last few quarters, we're moving beyond the impact of the client losses that impacted our results over the last year and expect to see continued improvement in our revenue growth as we onboard a series of new mandates later this year. In addition, our sales pipeline continues to be strong.In Clearance and Collateral Management, you see another example where we have distinct competitive advantages and are seeing continued strong performance. Given our role in servicing both in the buy and sell side and our status as the sole provider of U.S. government clearing, we can help clients optimize their funding needs in a way that others just can't. We continue to generate additional revenue through collateral optimization services as well as attracting incremental balances.In addition, client activity and market demand is driving increased securities settlement volumes and growth in collateral management balances. We continue to see strong U.S. government securities settlement volumes driven by elevated levels of U.S. Treasury issuance and secondary market trading. This business should continue to be a source of strong organic growth. Both banks as well as nonbanks are seeking access to our government securities settlement platforms and access to U.S. dollar funding market through tri-party and other repo clearing capabilities.As we increase the coordination of our government securities clearance platform and our global collateral management capabilities, we expect to provide enhanced capabilities across regions especially as we develop interoperability across those regions and assets. We're currently working to build the next-generation global collateral platform to support these capabilities as well as enhance resiliency and data and analytic capabilities not currently available in the market. We think it will significantly boost our ability to attract new market participants as well as additional business from our existing clients. In addition, the business remains focused on technology-enabled solutions for our clients, facilitating optimization of collateral across our platform as well as for collateral held away from us and the ability to monitor intraday liquidity credit usage on-demand with our proprietary APIs.We're also seeing progress in Issuer Services. Our reduced CLO platform has been received well by clients and should provide the foundation for us to compete more effectively. We continue to see good business momentum in Corporate Trust as we gain market share in a number of our key debt products.In Treasury Services, while we're challenged by the impact of the yield curve, we do see some success in our focus on expanding our client relationships, which was -- has resulted in higher deposit balances. While these are interest-bearing deposits predominantly, they are from strong relationships across multiple geographies and we think strengthens our business over the long term. We remain focused on building our liquidity, trade finance and payments businesses as well.In Asset Servicing, although equity markets particularly in the U.S. have been strong, reduced client activity and the impact of the yield curve has negatively impacted our financial results, but we continue to experience important new wins across client segments and geographies. Just to highlight 2 of them: We were recently awarded mandates by ATP, Denmark's largest pension fund; and in the U.S., we were named Microsoft's new Global Custodian for their treasury operations, the first time in nearly a decade that Microsoft has switched custodians. And we continue to expand our service and capabilities for higher-growth asset classes, such as alternatives and ETFs. In fact, assets under custody related to ETF servicing are up roughly 50% against a year ago, a sign of our traction in the marketplace.The client response to our commitment to work with third parties to more closely integrate the front-to-back operating model has been positive. Our alliance with BlackRock has also been well received, and we're in the process of enabling our integrated functionality to several joint clients and continue to have extensive discussions across existing and potentially new clients.And as I mentioned, and Mike will cover in more detail, low levels of volatility and market activity have significantly impacted our foreign exchange and securities lending activities. While we haven't seen a change in these trends just yet, they can and will change very quickly at some point, we will be the beneficiary of that.In our Asset Management business, though our performance in Asset Management was negatively impacted from cumulative outflows over the past year, the level of outflows in our higher-margin products has slowed and we're seeing continued improvement, investment performance, particularly in some of our larger equity strategies.In our Wealth business, we were negatively impacted by the interest rate environment, but our assets under management flows, where we get paid for investment advice, continued to be positive.On the expense side, you see the impact of our continued focus on using our resources wisely. We have not announced a special program to reduce expenses, but as I think you can see in our results and will continue to see, we're embedding quality improvement and a clear focus on increasing efficiency into the BNY Mellon culture and how we manage the company. This includes eliminating unnecessary management layers across every area of the firm, from staff to sales to operations; automating processes which are today manual; and rethinking the flow of activity between us and our clients.Just a reminder, while these activities will result in lower expenses, it's actually more important that they will increase the quality of the work we do for our clients. While it sounds more strategic to discuss new capabilities we're building, which we are, there's a meaningful opportunity to improve our growth trajectory by differentiating our firm through the quality of the work we delivered day in and day out. We're far from done here. This is a multi-year journey and the ability to continue to drive benefits for both our clients and ourselves continues to be extremely meaningful.And as I mentioned earlier, though our expenses declined this quarter, they continue to include a significant increase in technology and product development investments. While some of these expenses are discretionary to some extent, we remain committed to these investment to build the business for the future. We will continue to keep an eye on the impact to the environment and our business and know that we have this lever and others to pull if we choose to reduce the expense base even more significantly. But we believe we should protect these investments as much as we can as they will drive much of the future success of the company. Having said that, we remain confident that our ability to continue to drive improved quality and drive efficiency will offset these investments for the next couple of quarters.We also continue to bring in and elevate exceptional talent to help us accelerate our progress. There have been a couple of talent changes worth highlighting. Bill Daley has joined s Vice Chairman and will be responsible for overseeing our government affairs, philanthropy and corporate and social responsibility efforts. I've known Bill for many years and couldn't be more excited to attract someone with his reputation, abilities, experience and judgment. Jim Crowley has become CEO of Pershing. Jim has spent his career at Pershing and has overseen a broad range of responsibilities, from sales operations, most recently serving at the Chief Operating Officer. He knows our clients, systems and organization, so it's been a quick and seamless transition. Most importantly, Jim understands the importance of not missing a beat with our business while thinking through where we can go to play an even bigger role in the support of the growing Wealth business.And we just announced that Jolen Anderson will be joining in September as Head of Human Resources. I've known and worked with Jolen and know how important she will be in our journey at creating a high-performance culture that can support the growth of our business.So in closing, we in the industry will have to continue navigating market challenges as the yield curve creates headwinds in the short term, but believe that we will be beneficiaries of Central Bank actions as we are confident they will ultimately result in stronger global economic growth and stronger market activity.We have not changed our belief that opportunities across the franchise to drive higher growth exist, and we continue to remain focused on balancing our short-term performance with building our company for the longer term. With that, let me turn the call over to Mike.
Michael Santomassimo: Thanks, Charlie. But let me run through the details of our results in the quarter. All comparisons will be on a year-over-year basis unless I specify otherwise. Beginning on Page 4 of the financial highlights document. In the second quarter, total revenue was down 5% to $3.9 billion. This mainly reflected lower net interest income, the impact of prior year outflows and divestitures in Asset Management and reductions in foreign exchange and securities lending, which were driven in part by market factors. Total fee revenue was down 3% year-on-year. Within Investment Services, we saw fees grow across a number of our businesses. Net interest revenue was down 12% and expenses were down 4%. This resulted in an 8% decline in pretax income to $1.3 billion, $969 million in net income applicable to common shareholders and a 2% decrease in earnings per share to $1.01, which was helped by our common stock repurchases. And our pretax operating margin was 33%.Moving now to capital and liquidity on Page 5. Our capital and liquidity ratios remained strong. As of June 30, our key ratios were stable and up since the end of the first quarter. Common equity Tier 1 capital totaled $18.5 billion and our CET1 ratio was 11.2% under the Advanced Approach. Our average LCR in the second quarter was 117%. The SLR was 6.3%. And as Charlie indicated, we are pleased with the significant capital return that we announced a few weeks ago.Now looking at net interest revenue on Page 6. As I mentioned, net interest revenue was down 12% year-over-year and 5% sequentially. Total average deposits were up both year-over-year and sequentially. This was driven by higher interest-bearing deposits partially offset by the expected decline in non-interest-bearing deposits. The rates paid on interest-bearing deposits increased from 99 basis points in the first quarter of 2019 to 104 basis points in the second quarter. Despite the expectations for lower rates, pricing has continued to be competitive throughout the second quarter but appears to have stabilized. Loan balances declined in Pershing and Clearance and Collateral Management primarily driven by lower client demand for leverage. The net interest margin decreased 8 basis points sequentially, driven by the impact of higher deposit rates and lower market rates impacting our reinvestment yield.On Page 7, we'll go into more detail about how our net interest revenue changed versus the first quarter. As I said, net interest revenue was down 5% sequentially, which was at the low end of the range we provided with our first quarter results. At that time, I'd said that we expected that average non-interest-bearing deposits would continue to come down and that the rate paid on interest-bearing deposits would continue to increase due to competition. Both of these happened as expected.At that point, we also expected the yield in our securities portfolio to be relatively flat to the first quarter. Given the downturn in rates since then, the yield on securities portfolio was actually down approximately 5 basis points. U.S. short-term rates moved 5 to 20 basis points lower during the quarter, impacting our loans and floating rate securities. The longer end of the curve is lower by between 30 and 40 basis points, impacting our fixed rate securities portfolio reinvestment yields. European government securities yields are also lower. As reminder, about 1/3 of our portfolio reprices every quarter. Including the lower yield on the secured portfolio is the negative impact from higher premium amortization. These reductions were partially offset by the higher interest-bearing deposit balances and we took advantage of short-term investment opportunities.We're taking action to increase NII while maintaining our current risk profile. For example, we sold low-yielding munis in the quarter and reinvested in high-grade CLOs and other asset-backed securities. We also took advantage of attractive pricing in the reverse repo market and are selectively investing in short-term loan assets as well as optimizing funding in long-term debt issuance.Now Page 8 details our expenses. On a consolidated basis, expenses of $2.65 billion were down 4%. Approximately 1% of the decrease was driven by the favorable impact of the stronger U.S. dollar. The remaining decrease reflects lower staff expense and our continued expense discipline which resulted in decreases in most other expense categories while absorbing a significant increase in technology investment, which is reflected in staff, professional, legal and other purchase services as well as software and equipment warrants.As discussed over the last couple quarters, we have executed a number efficiency initiatives, including organization streamlining, which helped drive the expense improvement in the quarter. We remain confident that we can become significantly more efficient in the future.Turning to Page 9. Total investment service revenue was down 3%. Assets under custody and administration increased 6% year-over-year to $35.5 trillion, primarily reflecting higher market values and net new business, partially offset by the unfavorable impact of a stronger U.S. dollar. Within Asset Servicing, revenue was down 8% to $1.4 billion, primarily reflecting lower net interest revenue, foreign exchange and securities lending, lower client activity and the unfavorable impact of the stronger dollar. As you can see, foreign exchange and other trading revenues down 11%. In foreign exchange, client activity was modestly lower and volatility has been historically low for some time.Securities lending has also been negatively impacted by lower demand and tighter spreads. Although revenue was down, the securities available to lend increased 15%, which should position us well as the markets change. Consistent with the last number of quarters, we don't see an acceleration in pricing headwinds in the business, just a continuation of what we have seen in recent years.In Pershing, revenue was up 1% to $564 million and up 2% sequentially, reflecting the impact of higher client assets and growth in accounts and clearing volumes, partially offset by lower net interest revenue. The sequential increase includes a small piece of the new business pipeline that we've been talking about, which we expect to impact the results later in the year and have a more meaningful impact next year.Issuer Services had a good quarter. Revenue was up 3% to $446 million, benefiting from higher Depository Receipt fees and higher volumes in Corporate Trust, partially offset by lower net interest revenue in Corporate Trust. The 13% sequential increase primarily reflects higher fees in both businesses. The sequential increase in Depository Receipts was primarily driven by timing of corporate actions and a little increased transaction volume. We continue to see good business momentum in Corporate Trust.In Treasury Services, revenue was down 4% to $317 million, reflecting lower net interest revenue. Although total Treasury Services deposits are up, we are seeing the impact of the shift from non-interest-bearing to interest-bearing deposits and higher cost of it -- of the interest-bearing deposits.Clearance and Collateral Management revenue was up 6% to $284 million due to growth in current volumes in collateral management due to the new government clearing clients that we converted last year in other new clients as well as higher clearance volumes related to heightened levels of U.S. Treasury issuances. Average tri-party collateral management balances were up 21%. Approximately 2/3 is from the client conversions and the remainder is from new business and more activity from existing clients.Page 10 summarizes the key drivers that affected the year-over-year revenue comparisons for each of the Investment Services business.Now turning to Investment Management on Page 11. Total Investment Management revenue was down 10%. Asset Management revenue was down 12% year-over-year to $618 million, primarily reflecting the change in AUM which was impacted by the cumulative outflows since the second quarter of 2018, partially offset by higher market values. It also reflects the unfavorable impact of a stronger U.S. dollar principally versus the British pound and the impact of divestitures and hedging activities. Just a reminder, performance fees can vary based on client anniversary dates and were lower compared to significant outperformance last year, particularly in LDI.We had outflows of $24 billion in the quarter, primarily driven by $22 billion in outflows from low-fee index strategies with 2/3 of that from a single client that took assets in-house. We had equity outflows of $2 billion for the quarter. Despite the outflows, we had strong investment performance in our largest equity strategies. We had $4 billion of outflows from fixed income products, and multi-asset and alternatives inflows turned positive at $1 billion. We had $1 billion in LDI inflows and $2 billion in cash inflows and overall assets under management of $1.8 trillion, which were up 2% year-over-year due to higher markets, partially offset by the impact of the stronger dollar and net outflows.Wealth Management revenue was down 5% year-over-year and 1% sequentially to $299 million, with both decreases primarily reflecting lower net interest revenue partially offset by higher market values. Within Wealth Management, client assets increased 1% and were up sequentially 2% to $257 billion.Turning to our Other segment on Page 12. Noninterest expense decreased year-over-year, reflecting lower staff and occupancy expense related to consolidating our real estate that was recorded in the second quarter of 2018.Now looking ahead to the third quarter, there are a few things you should consider. With respect to net interest revenue, let me walk you through some assumptions, but as always, you should make your own assumptions as well. Based on what we see today, our interest-bearing deposits will be similar to the second quarter. We expect that average non-interest-bearing deposits will continue to come down. The rate environment has been changing quickly and the forward curve is currently pricing in at least two cuts this year, and as a result, we expect the securities portfolio yield will decline in the third quarter.The competition for deposits remains high and deposit repricing is difficult to predict with a high degree of certainty but we expect the betas on the back of the Fed rate cuts will be close to 100% for some parts of the deposit book but the overall beta will be less than 100%. Given these assumptions, we would expect the sequential percentage decline in net interest revenue to be similar to what we saw in the second quarter, depending on the yield curve, deposit pricing and non-interest-bearing deposit volumes. Keep in mind that depending on the on balance sheet and market dynamics, there may be shifts of revenue between net interest income and FX and the other trading volume. And I would continue to caution you that's very early in the quarter and the environment has been dynamic.Although equity markets have been rising, a little less than 1/3 of our AUM is correlated to the equity markets. So you should factor that into your expectations for Q3 Investment Management fees.And a reminder that we had some notable items in the third quarter of 2018 which you should factor into your modeling. And lastly, while we remain committed to continue to invest more in technology and product development, we will continue to monitor the impact of the environment in our businesses and know that we have levers to pull if necessary to further reduce our expense base.With that, operator, can you please open up the lines for questions?
Operator: [Operator Instructions]. Our first question comes from the line of Ken Usdin with Jefferies.
Kenneth Usdin: I just have to ask on that rates part of the outlook, Mike. So you said 1/3 of the book reprices every quarter. And I'm just wondering if you can elaborate further on just the pace of change, what that means for investment yields, just presuming this curve environment. I'm assuming that then means then, if even we'll stay here, we'll have continued pressure past the third quarter. Can you elaborate on that? And also just where -- how your -- that magnitude of change and duration, where the duration stands today.
Michael Santomassimo: Ken, thanks for the question. So as you would expect, I'll make sure I cover all pieces of it there and take it apart, right. But on the duration, as you would expect, given the down-tick in rates, the durations come down just naturally as pre-pays have gone up in the mortgage back book. We've -- as we continue to take action on the maturities that come through the portfolio, we add a little bit of duration back. But overall, it's ticked down slightly sort of in the -- sequentially in the quarter. As you sort of think about the impact of lower rates, there is a lag as that sort of kind of bakes into the book if 1/3 of it's repricing every quarter. So I think that you should be able to model that pretty easily, I think.
Kenneth Usdin: Okay. And my quick follow-up is then, just you mentioned I guess trading rate risk for credit risk. Can you just talk about the philosophy at this point in the economic cycle of making that move, and your confidence from a risk management perspective?
Michael Santomassimo: Yes. I think in the -- you're talking about some of the changes we've made in the securities portfolio with be the munis and CLOs and et cetera, that I mentioned. Is that where you're -- what this was about?
Kenneth Usdin: Yes, that's it, that's it. Yes.
Michael Santomassimo: Yes, yes, look. I mean, I think when you look at what we did, it's -- one, it's not a major sort of driver in the book. But the munis we sold were yielding below IOER. And so all we did was sort of redeploy those in some very high quality asset-backeds and CLOs. And so I wouldn't take those as a bet or a direct -- a big change in direction of the book.
Charles Scharf: Now I would -- this is Charlie. The only thing I would add is I would just take it as we're going through everything that impacts NII to figure out what we can and should do on the margin that can be additive without changing the risk profile in a real material way.
Operator: Our next question comes from the line of Betsy Graseck from Morgan Stanley.
Betsy Graseck: A couple of questions. So on the expense side this quarter, really good results. Wanted to understand. I know you gave some basic explanation on where that came from, but maybe you could drill down a little bit on how much more expense cuts you could continue to do that are not touching the investment spend. Because we get the message on NIIs coming down, but I think part of the story this quarter was you were able to offset that with the expense cuts.
Charles Scharf: Yes. Betsy, it's Charlie. Listen, I've been very, very consistent I think since the day I got here about what we say on this, and nothing is different, which we continue to believe that there are meaningful opportunities to reduce expenses and that will continue for a relatively long period of time, meaning beyond what we actually even think about at this point. It cuts across a whole series of initiatives. Everything, as I've talked about, from reducing layers, location of employees, automation of things like reconciliations, instructions with clients, corporate actions, NAV automate, I mean, we'll do the long list of things that we're constantly looking at.And what I'd say is in an environment like this, you get even more focused on figuring out what you can do more quickly to have actually impact our results. Again, we do it because it drives quality. The byproduct of that, quite frankly, is that we become more efficient at this. And so as time goes on, I think we get more and more confident that there continues to be more opportunity for us, which is why I made the comments relative to the efficiencies relative to the size of the investments we have to make.We think, as I said for the remaining couple of quarters, the efficiencies will more than offset the increases. But if we think the environment warrants a change in the level of investment, we can do that. But we feel very, very positive about where we're going with the expense trajectory of the company in a way which is positive for our clients.
Operator: Our next question comes from the line of Steven Chubak with Wolfe Research.
Steven Chubak: So I wanted to dig in a little bit to the securities book and some of the NII disclosure. And you spoke of some changes to the securities mix and maybe reinvesting in CLOs. You also talked about potential to optimize some of the higher-cost funding sources. I'm just wondering whether some of those changes or some of those actions are contemplated as part of the NII guide.
Michael Santomassimo: Yes. I mean, look, all if it is contemplated, Steve, as we sort of look at it. And as Charlie mentioned, sort of we're going through every last piece of it, that sort of builds up to drive NII. And we're going to continue to work to optimize it as best as we can without substantially changing sort of the risk profile that we've got.
Steven Chubak: Got it. And just one -- for my follow-up, I wanted to ask about capital ratios and maybe more specifically try to get a sense as to, as you look out over the next couple of years, just given the strength of your CCAR track record, how you're thinking about managing or determining what's the appropriate capital target, especially in anticipation of the fact that the SCB could potentially be deployed or implemented as early as 2020.
Michael Santomassimo: Yes. Look, Steve, I think we've got to just kind of let the capital rules get finalized, right? And hopefully that will happen sooner rather than later, but we've been waiting for a while for that. So I think that will -- that's going to happen sort of first. And as you know, we've been sort of constrained with -- based on sort of the leverage ratio in CCAR for the last number of years. And so that -- we don't see that sort of changing. That's been the constraint for us going forward at this point. And we're -- as you can see over the last couple of years, we've been very active to both optimize sort of how we think about our modeling that goes into stress testing and CCAR. And I think you've seen that as we've sort of increased our capital return over the last couple of years. And I think it -- we'll continue to sort of do that as things evolve.
Operator: Our next question comes from the line of Mike Carrier with Bank of America Merrill Lynch.
Michael Carrier: First question, just on Pershing. So that showed some growth in the quarter. You guys mentioned some of the onboarding of clients. Can you provide an update on the timing and the impact ahead of some of that new business as well as what drove the lower margin balance in the quarter? It seemed a little I would say counterintuitive from what we're seeing with the peers.
Michael Santomassimo: Mike, it's Mike. I'll take that. So as we've said over the last few quarters, I think on the new business side, we would -- we're in the middle of onboarding a number of those clients now, and we would expect to start seeing that more meaningfully towards the end of the year and into the first part of next year. On the margin balances, there's really no story other than we've seen a lack of demand from clients right now. And that could turn pretty meaningfully pretty quickly, but it's really just been muted activity from the existing clients.
Charles Scharf: Yes, but it has nothing -- I mean, it has nothing to do just the clients -- net changes in clients in our business. It's actual activity of the existing clients that we have. And it's just the impact of the way to think about the risk they want to take in the market today.
Michael Carrier: Got it. Okay. And then just as a follow up. Charlie, just based on the investments, you guys mentioned the Pershing wins, you pointed to some of the asset servicing wins, you have traction on the collateral and the clearing management. So it seems like some of the organic growth initiatives that you guys have been putting in place are starting to gain some traction. Just wanted to get an update on your view on more of the strategic repositioning and outlook. Because obviously, there's a lot of focus on NII and the rate headwinds, but it seems like you're making some good traction on some of the business areas.
Charles Scharf: Yes. Listen, I think it's very early and so there, too -- just because we have some businesses which have seen some growth, doesn't mean we -- that internally, we feel better about it than we should. But we do have some businesses that have continually shown some organic growth and others where it's still slow, predominantly because of the time it takes for us to build up our capabilities and the long sales cycles.We highlighted those we're seeing growth in the business and those are -- they're real, they're consistent. They relate to both our execution and the market positions that we have. And on the longer-tail businesses, such as Asset Servicing, that continues to be a work in progress, but we feel as good as we have felt that the opportunities are there. It just will continue to play out over time.
Operator: Our next question comes from the line of Brennan Hawken with UBS.
Brennan Hawken: Mike, you referenced, I think, a high beta expectation when in a rate cut environment. And I just was curious to get some color on what drives -- you the confidence that it will be high. This quarter, we saw market rates begin to fall and yet interest-bearing deposit yields went up. It looks like the policy -- if we get a policy cut, it'll be viewed as an insurance cut. And in the past, those haven't had as high beta. So just kind of curious about what it is that you're seeing in the market and what you're hearing from the folks closer to those deposit markets and what would give you the confidence that those betas would be high.
Michael Santomassimo: Yes. I mean, Brennan, look, I mean, obviously, we'll see how things play out over the next coming weeks, but we've got a very disciplined process where we go business by business, segment by segment within those businesses and try to be realistic about what the beta is going to look like for each of those segments. And that's sort of how we go about the process of trying to understand what's possible. And some of those segments are more competitive than others and will have lower beta than others, and there's dynamics that we sort of take into account. And so we're going to continue to do that and work through that as sort of rates sort of come down.
Charles Scharf: The only thing I'd add, Brennan, and I know you know this. But we don't sit here and pretend to be able to forecast how many rate cuts there will be. What he said is we're just taking what's in the implieds and saying, "If that holds true, here's what we would expect." To the extent that it's something less than that and it's something more insurance-like, you might be right, but then that also changes the outlook for NII in a more positive way than it otherwise would have been for some of the out quarters. But if it is a series of cuts, then the rate at which we and others will be willing to move is impacted by that. So a lot will have to do with what the actions are and what the words are around it and what the expectations are beyond that first cut.
Brennan Hawken: Yes. That's all really, really fair and helpful. My next question is on expenses. You guys have talked about how you have been, that this quarter is a reflection of the discipline and how you have the ability to step up when you need to and show the impact of the efficiency efforts you've been baking. Is this -- as we think about tuning up our models here, should we think about this as the right jumping-off point for the rest of the year? Or are there some factors that we might be missing that we should consider when we consider the back half here?
Michael Santomassimo: Yes. I think -- Brennan, I think you really got to sort of look at it year-on-year because there's dynamics that sort of change as you sort of look at individual quarters. And so I think you got it -- so I think you could sort of take the view that both Charlie and I gave in terms of the efficiencies offsetting all the investments and sort of think about that on year-over-year basis for each of the quarters going forward.
Operator: Our next question comes from the line of Glenn Schorr with Evercore ISI.
Glenn Schorr: A quick follow-up on that -- your comments on ETF servicing up like 50% versus last year. Curious if you can help us with thoughts on what kind of base are we talking about? And maybe just talk a little bit more towards overall positioning, winning new clients. Is the revenues coming from current clients and their organic growth? Just curious of...
Charles Scharf: Yes. This is Charlie. I'll take that. Listen, we don't disclose the individual pieces, but it's -- when you look at who services the biggest ETFs out there, we have not historically been one of the large ETF providers. So just a way of saying relative to what you see in the world, it's from a small base, but it's also just very clear for us relative to the focus that we have on it. We have won -- so I would describe it as a significant piece of business from a strong name in the market that wants to grow in the ETF space. And we're very, very focused on growing it in a more material way than what you've even seen in the past. So that's the reason why we wanted to highlight it. Not a huge revenue impact in the short term, but important strategically for us.
Glenn Schorr: Understood. And maybe I could go over to Asset Management side. Last quarter, I think you pointed out some of the investments you're making in passives, all -- smart beta, LDI. Maybe you could provide a little bit more color on -- I know these are longer-tail investments, but curious on what you're working on right now.
Charles Scharf: Yes, listen. It's exactly the same sort of list. As you pointed out, it doesn't change quarter-on-quarter. When you looked at the results in the quarter, obviously, you saw the flow of information. Mike talked about it. Big piece driven by one very specific client that took something in the index base in-house. We are focused on the things that we spoke about. And it is a relative -- it's not the easiest environment, but we're -- what we're focused on our existing platform is ensuring we have the right products and focused on performance. And we walk you through some of the things on the performance side which should, over a period of time, drive flows and drive our own financial performance.
Operator: Our next question comes from the line of Gerard Cassidy with RBC.
Gerard Cassidy: In view of the pressure that everyone is seeing on the margin because of the rate environment, have you guys considered -- obviously, your loan book is not as big as your securities book, but is there any consideration of trying to focus on maybe growing the loan book to offset some of these pressures that you're seeing on the margin?
Charles Scharf: Listen. I think we are -- as Mike said, we are focused on looking at every component of NII, but not rethinking the risk profile of who we are and what we are. When you looked at what we do in the lending space, for the most part, what we do in the lending space supports the rest of the businesses that we're in. It's slightly more than an accommodation, that's the way I would think about it. It's an important component of what we do and what we provide for clients. But we don't have the infrastructure. We don't have the diversification. We don't have the size lending platform that some of the others have. And our view is if you just entered that just for the sake of creating NII to solve a short-term problem, that probably won't end well for us if we went down that road. So we're trying to be far more selective about where we can pick up some yield without putting ourselves in a position, especially at this point in the credit cycle, that will -- that we will regret later on.
Gerard Cassidy: Very good. And then following up on your assets under management comments, recognizing that equity is not a material part of your assets under management. But can you share with us -- the trend obviously that many of the active managers both in fixed income and equity are seeing is the pressure from the passives, of course. Can you share with us, are you guys seeing that same kind of pressure in your active part of the assets under management, and what are you trying to do to offset it?
Michael Santomassimo: Yes. I mean -- Gerard, it's Mike. Certainly, some of the -- in some strategies, we're seeing more pressure than others, but -- and I think what we're trying to do is make sure that our -- where we have differentiation, that we're focused on performance. And as you sort of look at our large or -- larger strategies, they do -- they are differentiated. They're not sort of like index-hugging kind of strategies. And I think we've seen good performance. We've seen a slowdown in outflows, and in some cases, a return to inflows in a few of them. And so we're focused on those differentiated strategies which I think will help us over the long term.
Charles Scharf: And I guess I think what I would add is I always break it into two parts, there's flows and just the fee environment. I would say the pressure that we've seen on fees, while it hasn't gone away, it hasn't increased. And it's probably -- we've had probably had more filter through than less at this point. So that's on a relative basis. A negative going away for us, which is certainly a good thing. And as I said, we're focused in our equity business, whether it's on the Walter Scott business or any of the others focused on performance. And the performance has been quite good. And when you see better performance, you see better impact on flows. It's early, but it certainly feels better when you got the stronger performance than when you don't.
Operator: Our next question comes from the line of Alex Blostein with Goldman Sachs.
Alexander Blostein: Just hoping to follow up on a couple of specifics here. So I think, Mike, you mentioned the beta on rate cuts will be closer to 100% on the portion of your deposit base. What percentage of your interest-bearing deposits will have that kind of 100% beta on the rate cut? Which I'm assuming is more contractual, which is why you kind have that level of confidence.
Michael Santomassimo: Yes. I mean -- and Alex, and that's not something that we sort of disclose in that level of detail. But as I said, you should assume it's not just where we've got contractual sort of rights to do that. We're being very disciplined about how we sort of go through the segment by segment review of the book.
Alexander Blostein: Okay. And then lots of color around expenses, more on the qualitative side, but I was hoping what to think through the rest of the year and maybe into 2020. If I hear you guys correctly, it sounds like the efficiencies are more than offsetting technology spend. So should the expense run rate be down versus kind of the first half of the year or for the back half of the year?
Michael Santomassimo: Yes. As I said, Alex, you should sort of think about it through year-over-year, right. For the third and fourth quarter, just given some of the dynamics that you sort of look at, the way the P&L sort of works out, and you should assume that the efficiencies offset the -- any of the investments we're making in the third and fourth quarter year-on-year. So sort of flattish year-on-year.
Operator: Our next question comes from the line of Mike Mayo with Wells Fargo Securities.
Michael Mayo: So I heard you're controlling what you can control with the expenses, but I'm just wondering about the pricing environment. So assets under custody are up 5% year-over-year, but servicing fees are only flat. You said the pricing pressure is the same as it has been. So should we think about that relationship as the pricing pressure? Or if not, how should we think about it?
Michael Santomassimo: Yes, Mike. I would -- it's Mike. I would just remind you that as sort of the markets go up, so in particular, the U.S. markets have sort of gone up year-on-year, right? So that does have an impact of AUC/A. And as -- if it's just market sort of driving AUC/A up, you don't get paid the same for that increase that you do for bringing in sort of new clients, right? Because clients have sort of graduated fee schedules. So there's a little bit of that you see in there. And then we'll go back to what we said on the pricing. Like, we really see no discernible difference at this point relative to what we've seen over the last number of years.
Charles Scharf: I will say the following thing, Mike, which won't satisfy you, but it's just the reality. We don't spend a lot of time looking at that ratio. There is -- assets under custody are not directly related to that line. We get paid for different things, not just the level of AUC/A that exists. Sometimes, it's based on transaction, sometimes it's based upon the activities that we have. So we would expect that number to grow over time at a faster rate, but that doesn't mean that we won't see benefits in the net interest -- I'm sorry, in the operating margin of the company over a period of time. That's the way we think about it and what we look at.
Michael Mayo: Well, that's helpful. So maybe just a more specific question. When you talk about pricing pressure, what is pricing pressure? Like, if you say it's kind of similar the way it's been the last few years, is it 1%, 2%, 3%, 0.5%? How would you quantify that?
Charles Scharf: We don't talk about the specifics. It's obviously embedded in the overall number. On a percentage basis relative to just when you look at our revenue growth number, the negative impact is not a hugely significant number.
Michael Mayo: Okay. And then last follow up. Some of your peers have reported so far that the money center banks have shown servicing fees up 5%, whereas yours was down 5% -- I'm sorry. It was much different on a core basis. So yours -- anyway, no matter how you slice it, the money center banks did a lot better this quarter. Is there anything unique to them or unique to you? Or like you said, new business flows on later this year and maybe that changes them?
Charles Scharf: Listen, we're not going to spend a lot of time talking about our competitors, and there's a lot of that's hard to understand when you just look over our press releases relative to these businesses. What we've looked at for our competitors, for comparable businesses, doesn't agree exactly with what you said. But we can certainly follow-up with you later on that.
Operator: Our next question comes from the line of Brian Bedell with Deutsche Bank.
Brian Bedell: First question, Mike. Just you talked about Issuer Services and some of the differences on the DR timing where we've had some shift between the second and third quarters and the timing of that. So now maybe you can just talk about the impact of that in 2Q on a sequential basis. And then sort of given the timing, what the outlook on the ADR side might be for 3Q in terms of seasonality.
Michael Santomassimo: Yes. Brian, so as I said I think a couple of quarters ago, you really sort of need to look at Issuer Services over the full year and not focus too much quarter-to-quarter. And I think when you do that, you sort of see actually more stability over the last few years than you sort of look at that, as you might guess, than looking at it quarter-to-quarter. So I would just encourage you to sort of look at it that way and go back to sort of what we sort of printed in 2018 and use that as a base to sort of think about the whole year.
Brian Bedell: Okay. Fair enough. And maybe just a question on the organic growth. Obviously, both you guys talked about some of the progress you're making, especially in Clearance and Collateral and within Pershing. I mean, I guess at this sense -- at this stage, do you have sense of how you would characterize that organic revenue growth, parsing that out from the market impact in at least those areas where you are growing? And then in conjunction with that, you made some new hires obviously while you're still reducing the expense base on the comp side. So maybe if you can talk about whether you still plan on making some other senior new hires to accelerate that organic growth in other businesses.
Charles Scharf: So let me just start with the second piece first. First of all, I want to point out, we didn't just highlight hires from the outside, we highlighted promotions from within. And so because there are a series of very big jobs here which we promote from within and are thrilled with the talent that exists here. Listen, I think we're -- we highlighted in this earnings release because we do think the jobs that we've talked about are important to continuing to further our progress inside the company. Over a period of time, we should talk less and less about that as we create more stability in the senior management ranks. But the positions that we've added that we talked about we think are meaningfully additive to our ability to think differently about these businesses and grow them. And the first question was?
Michael Santomassimo: The significance of the organic growth...
Charles Scharf: Yes, listen, I think it's a hard question. I think we would -- if you just ask, like, what's the tone that we want to set relative to the way we're thinking about it, is we are very early on in our journey to build a company which has a higher rate of growth than it had in the past. The fact that we have some businesses that are showing underlying organic growth is certainly a good thing. It's real. We think it's -- while there might be some volatility, it's sustainable both because of the work we're doing and the quality of the franchise that we have. It's not everywhere. We have a lot more work to do. So the trends are mildly positive with still a lot more to do.
Operator: [Operator Instructions]. Our next question comes from the line of Robert Wildhack with Autonomous Research.
Robert Wildhack: On the balance sheet. I think in the past, you said that the Fed's normalization was going to lead to deposit runoff of I think $70 billion. But that was from a while ago. Anyway, you can help us quantify the impact that process has been having and how that will change once the Fed stops?
Michael Santomassimo: Yes. Look, Robert, it's Mike. As I've said in my remarks, we sort of expect interest-bearing deposits to -- at this point in the quarter, to be about where they were last quarter and then noninterest-bearing to keep coming down a little bit. And I think post QE stopping and the Fed reducing its balance sheet, that should be a net positive going forward. But we'll see how it plays out.
Robert Wildhack: Okay. And then can you just give a quick update on the BlackRock-Aladdin or -- yes, BlackRock-Aladdin partnership and how that has progressed? And what the client uptake has been like on the additional capabilities you've built out?
Charles Scharf: Yes. I think what we've seen is a very, very high degree of interest from both existing clients that we have and potential clients. We're in the process of onboarding, of the existing common clients we have, a meaningful portion of those to give them access to the new capabilities. And most of the remaining ones are extremely interested and we're just in the process of going through that discussion. So all in all, I think we just feel very good about what we've done there and continuing to talk to other third parties about being able to do the same.
Operator: Our next question comes from the line of Brian Kleinhanzl of KBW.
Brian Kleinhanzl: Just a quick question. You're still seeing good growth in the tri-party collateral balances. How much of that is still coming from the on boarding from JPM? Or is that fully done at this point in time?
Michael Santomassimo: The onboarding finished in the late third quarter last year. So you're still seeing the annualization of that, Brian. So roughly sort of 2/3 of it from the conversion and the other -- the remaining from either new clients or growth from the rest of the client base.
Brian Kleinhanzl: Okay. And then you mentioned on the expenses that the tech spend was going to be offset by efficiency saves. But when should we see the tech spend slow? Assuming there was some accelerated expense to get the platform as you want it to be. But should we see it slow in 2020? Or is this just an ongoing rate of spend that we should expect for the near term?
Charles Scharf: Yes. I don't know answer to that is the short way of think -- is the succinct answer. I think we've certainly thought about it in detail through the end of the year. We're at the beginning part of our process for thinking through next year in detail. There's no doubt that the tech spend should become more efficient as time goes on. There's still a lot to do. So relative to the way we think about overall expenses, obviously, that will be governed by the way we're thinking about what our requirements are and what the environment is. So we're very conscious of the world that we live in, but I think we'll defer the answer to the question until we think about it some more through our process.
Operator: And gentlemen, it appears we have no further questions at this time.
Charles Scharf: All right. Thanks, everyone, for the time. Take care.
Operator: Thank you. This concludes today's conference call webcast. A replay of this conference call webcast will be available on the BNY Mellon Investor Relations website at 2:00 p.m. Eastern Time today. Have a good day.